Executives: Christine Ritz Hans Dieter Pötsch - Chief Financial Officer, Head of Controlling & Accounting and Member of Management Board Christian Klingler - Member of The Board of Management and Member of The Group Board of Management for Sales & Marketing
Analysts: Jochen Gehrke - Deutsche Bank AG, Research Division Michael John Tyndall - Barclays Capital, Research Division Stephen Reitman - Societe Generale Cross Asset Research Horst Schneider - HSBC, Research Division Stuart Pearson - Morgan Stanley, Research Division Daniel Schwarz - Commerzbank AG, Research Division Fraser Hill - BofA Merrill Lynch, Research Division Charles Winston - Redburn Partners LLP, Research Division Michael Punzet - DZ Bank AG, Research Division Frank Biller - Landesbank Baden-Wurttemberg, Research Division Richard J. Hilgert - Morningstar Inc., Research Division Rabih Freiha - Exane BNP Paribas, Research Division Christian Breitsprecher - Macquarie Research Christian Ludwig - Bankhaus Lampe KG, Research Division
Operator: Good day, ladies and gentlemen, and welcome to Volkswagen's January to September 2012 Results Conference Call. For your information, today's conference is being recorded. At this time, I would like to turn the conference over to Christine Ritz, Head of Group Investor Relations. Please go ahead, madame.
Christine Ritz: Ladies and gentlemen, welcome to Volkswagen's conference call on the results for the period January to September 2012 based on the ad hoc and the interim report we published this morning. Joining me on today's conference call are Hans Dieter Pötsch, member of the Board of Management, Volkswagen AG, responsible for finance and controlling; and the member of the Board of Management, Volkswagen AG responsible for group sales and marketing, Christian Klingler. The webcast can be viewed via our website at www.volkswagenag.com/ir, where you will also find the charts available to download. Questions can be sent by e-mail or called in. After the presentation, we will take questions first from analysts and then from journalists. Let me now pass you over to Mr. Pötsch.
Hans Dieter Pötsch: Yes, thank you, and a warm welcome from my side to those of you joining this call today. Our results announced this morning clearly demonstrate the strength of the Volkswagen Group. In tough market conditions, we have reported a solid performance in line with our expectations as we continue to build the foundations for our future. In the first 9 months of 2012, Volkswagen Group delivered 6.9 million vehicles to customers across our car and truck divisions, an increase of over 11%, reflecting the strength of our brands, our globalization strategy, as well as the inclusion of MAN and, since August, Porsche too. The volume increase, including the consolidation of MAN and Porsche, drove sales revenue up to EUR 144.2 billion. Operating profit came in at EUR 8.8 billion, as expected, and was at the level achieved for the same period in 2011. This is a respectable achievement considering the heavy PPA charge. Profit before tax increased significantly to EUR 23 billion for the first 9 months, benefiting in particular from a higher financial result. This was driven by strong earnings at our equity-accounted investments, particularly in China, as well as from the measurement of the put/call rights related to Porsche and even more so from the remeasurement at the contribution date of the stake we already held. At EUR 9.2 billion, automotive net liquidity remained solid after 9 months as we continued to invest in our future with key new models such as the Audi A3 and Golf, as well as reflecting the full integration of Porsche and Ducati and the increase in our stake in MAN earlier this year. Let me now pass you over to Mr. Klingler to take you through our sales performance during the first 9 months.
Christian Klingler: Ladies and gentlemen, a warm welcome to the conference call from me also. This chart shows half-yearly graph plus the third quarter of 2012 of the world car market and group deliveries to customers in comparison to the same period last year. Market growth is observed in most regions around the world, especially in Asia, but also in the Americas. The exception is Western Europe, where the eurozone debt crisis has led to heavy contractions in markets such as Italy, France, Portugal and Greece, while markets such as this -- the U.K -- still reports some growth. An elevated level of market risk exists across the whole region. Negative developments stemming from Europe are affecting consumer confidence around the world and in particular in economies which exports to the region. Following a decent growth in the first half of this year, global car markets started to decelerate visibly in the third quarter. We continued to closely monitor increasing levels of risk around the globe. Now looking at the car market performance in direct comparison to the Volkswagen Group in the first 3 quarters of 2012 on a regional basis. As you can see, the Volkswagen Group has outperformed the market in every region. Despite difficult conditions in Western Europe, we slightly increased our global market share. The Western European market declined by almost 8%, while the Volkswagen Group recorded a decline of less than 3%. As already mentioned, major markets in the region suffered significant reductions amid a weak economic background. In particular, the Portuguese and Greek market contracted by about 40% against the first 3 quarters of 2011. And Italy and France are down by 21% and 14%, respectively. While the current European crisis remains unresolved, we see considerable further risk to car market volumes. Strong market headwinds continue such as record high unemployment in Southern Europe plus weak consumer sentiments across the region. Austerity measures like the recent Spanish VAT increase further constrained these markets. The situation's placed the whole automotive industry under considerable pressure. Competition has identified significantly, which placed this particular strain on manufacturers, which focus on smaller vehicles in southern Europe. The potential impact to the car market and our business from further shocks to the financial system or sovereign balance sheet would be substantial. While still unlikely, a eurozone collapse scenario would heavily impact the entire global economy. We, therefore, continue to closely monitor the development in each market. Now we will take a look at the performance of the individual brands of the group. In the first 3 quarters of 2012, nearly all of our volume brands achieved an increase in terms of deliveries, and for the group total deliveries to customers exceeded last year's level by 11.1%. Volkswagen passenger cars deliveries were up by an impressive 10.6% to more than 4.2 million cars, driven by a robust sales record and strong demand in China, the U.S., Russia and Brazil. Audi deliveries rose about 12.8% compared to last year to over 1 million cars, being very successful in China, the U.S., Germany and Russia. Skoda expanded deliveries up to 707 -- I'm sorry, 717,000 cars, mainly due to the strong demand in Russia, China and India. SEAT has suffered from the weak Western European markets. Porsche is fully consolidated from the first of August 2012. Bentley has managed to expand deliveries with strong demand in the U.S. and China. And Volkswagen Commercial Vehicles increased deliveries by 4.9%, with strong demand in Russia, Australia and Germany. Now we take a look at the situation of the individual head commercial vehicle brands of the Volkswagen Group. The global truck market declined more than 8%. Worsening economic conditions in the major markets, particularly in Europe and South America, had a negative impact on truck demand and led to an intensification of the competitive environment. In Western Europe, the truck market shrunk by 7%, while in Central and Eastern Europe, the truck market grew by plus 38%. The slowdown in most parts of Europe were partly offset by the significant growth in the major market, Russia, and a few other countries outside of Europe. The Brazilian truck market, as the major market in South America, contracted by minus 20%. With the main focus on Europe and South America, Scania and MAN faced headwinds in this declining markets with the decrease of truck and bus deliveries in the first 3 quarters of 2012 of 20.5% for Scania and 11.9% for MAN. In Europe, where OEMs were selling trucks from stock with heavy discounts, Scania could avoid similar actions as they had already reduced production in 2011. The sales of Scania in Brazil were in line with the heavy-duty sub-segment development, especially as Scania moved to Euro 5 engines while others still had Euro 3 trucks in stock. For MAN the decline is largely related to Brazil, again, due to the change in emission standards from Euro 3 to Euro 5 from the start of 2012. In Q3, the market is on the same level as the previous quarter. Underlying sales in Power Engineering, where we are represented by MAN, grew by 7% and reached EUR 3.1 billion. Now let us take a look at a few highlights on some of our new models, which will provide a good base for our sales performance in the coming months. The new Volkswagen Golf had its world premiere in Berlin in September and will be introduced in the market next month. In a sensitive world demanding lower consumption and a low CO2, the new Volkswagen Golf demonstrates how the best gets even better. It represents the car, the embodiment of contemporary mobility. The Audi A3 3-Door delights customers with its progressive innovations combined with unique sophistication and satisfies the various needs of the markets. The Audi A3 3-door was shown at the Geneva Motor Show in March and hit the road this August. The Skoda Rapid is the new class of Skoda, a spacious family car, which combines generous space with simply clever solutions. The Skoda Rapid was shown at the Paris Motor Show in September and introduced on the market this month. The SEAT Leon 5-Door is the most beautiful way of driving a functional car. It has new standards and design, quality and driving experience. Also shown at the Paris Motor Show last month, the new SEAT Leon 5-door will be introduced on the market next month.
Christine Ritz: Thank you, Mr. Klingler. Now let's return to Mr. Potsch for some more detail on the key elements of our financial performance.
Hans Dieter Pötsch: Let's start at a high level and focus on the contributions made by our 2 divisions, including the performance from our equity-accounted investments. For the period January to September 2012, the Automotive division, comprising of passenger car and motorcycle, commercial vehicle and power engineering interests reported an increase in sales revenue of 25% to EUR 130 billion. The increase in unit sales, as well as the first-time consolidation of MAN and Porsche were key contributory factors. Operating profit of EUR 7.7 billion was fractionally below the EUR 8 billion reported for the same period in 2011. And here, one has to take note of the significant PPA charge of EUR 1.4 billion, primarily relating to MAN and Porsche, which weighed on the operating result. And just to hint at how significant this PPA charge is, the operating profit margin would've been almost a full 1% higher at 6.9% rather than the reported 6% if the MAN and Porsche PPA component is excluded. And of course, we also had the burden of the significant costs relating to the introduction of new models based on the MQB architecture, specifically the new Audi A3 and Golf, which will pay off in the years to come. Profit before tax for the Automotive divisions climbed 40% to EUR 21.8 billion. Here, the financial result played a major role. The equity-accounted result increased to EUR 13 billion. A core contributor here was our Chinese joint ventures, which reported a pro rata operating profit of EUR 2.8 billion. Our indirect interest in Porsche also made a contribution for the period from January to July. Following full consolidation, the performance of Porsche since August 1 is now included in the operating results. However, the most significant factor was the remeasurement of the value of our existing 49.9% stake in Porsche prior to full consolidation, which increased by EUR 10.4 billion. The other financial result, among other things, includes the valuation effect of our put and call rights related to Porsche prior to consolidation. The valuation increased significantly in 2011 and by a further EUR 1.9 billion in 2012. Our Financial Services division, which include the Financial Services activities of Porsche AG from August 1, as well as the Financial Services activities of Porsche Holding Salzburg, MAN and Scania, increased its operating results by 17.2% to EUR 1.1 billion. Profit before tax for the entire group at EUR 23 billion was up almost 40% for the first 9 months of the year. Now let me turn to the operating result performance in more detail. The positive performance in volume, price and mix versus the corresponding period in 2011 came in at EUR 0.6 billion. The effect from higher volume was partially offset by a less favorable country mix and challenging market conditions. Combined with the continuing positive development in exchange rate of EUR 0.9 billion and lower product costs of EUR 1.2 billion, this was almost fully offset by the rising fixed costs and start-up costs of EUR 2.5 billion. This rise in costs relates to the introduction of the new Audi A3 and Golf on the new MQB architecture, alongside the associated renewal of production facilities, which peaked in the third quarter and weighed heavily on the quarter's results. PPA played a role in the trucks, buses and Power Engineering Business area. Combined with weak market conditions, this led to a negative swing of EUR 0.6 billion, although within this, the Power Engineering activities reported a positive result. The Financial Services division, including the Financial Services activities of MAN, Porsche, Porsche Holding Salzburg and, of course, Scania, lifted earnings by around EUR 0.2 billion. In total the operating result at EUR 8.8 billion was just around EUR 140 million below the level for the first 9 months of 2011, a clear sign of the strength of our group in that we are able to report such solid earnings even while our core models are being changed, high PPA charges are being booked and while tough market conditions in Western Europe prevail. Now let me turn to the financial performance of our main branch. In the first 9 months, the Volkswagen passenger car brand carried the bulk of the MQB costs burden I already mentioned. Consequently, while unit sales and revenue increased, earnings declined slightly to EUR 2.9 billion. Audi increased its earnings by 6% to EUR 4.2 billion. Skoda and SEAT recorded results broadly in line with last year as Bentley's turnaround continued. Porsche, included just for 2 months in the operating results, reported close to EUR 400 million before PPA charges offset most of the results. Our commercial vehicle interest reported mixed results with the market conditions in Europe and South America, clearly impacting our heavy truck interests, while light commercials are recording just a slightly lower operating profit. The sharp increase in the Others line reflect in particular the increased PPA charge I have mentioned, as well as the elimination of intercompany profits, which increased following the full consolidation of Porsche. Turning now to cash flow in the Automotive division. Operating cash flow reduced slightly from EUR 12.4 billion to EUR 11.9 billion. Stock levels increased by EUR 0.8 billion year-to-date. Also this was a reduction of EUR 1 billion from the half-year stage. This formed part of an overall EUR 2.8 billion improvement in working capital in the quarter. Investing cash flow increased from EUR 8.6 billion to EUR 11.3 billion. Excluding equity investments, cash flow and investing activities rose to EUR 7.4 billion from EUR 5.3 billion, reflecting upfront investments in our factories in particular with regard to MQB and the renewal of our product portfolio. Consequently, the CapEx ratio for the first 9 months climbed to 4.6% for the full year. In line with our usual seasonality patterns, this is likely to rise to above our long-term guidance of 6%, reflecting the ongoing commissioning of investments in our factories to support new products. Staying with the Automotive division, net liquidity at the end of September was EUR 9.2 billion. This reflects in particular the investments I just mentioned. And of course, with respect to the third quarter, one must also account for the consideration of EUR 4.5 billion and the inclusion of the negative liquidity at Porsche AG as part of the deal to construct the integrated Automotive group with Porsche. Combined, the effect on Automotive liquidity from the integration is around EUR 7 billion. The acquisition of Ducati generated a cash outflow of just under EUR 1 billion. We continue to drive in the direction of a higher net liquidity to be in tandem with the revenue growth, providing the confidence to continue our strategies despite any short-term capital market interruptions which might occur. And so to conclude my presentation today, let me now turn to our outlook statement, which you can read in full in our interim report. As we stated, when reporting our performance at the half-year stage, market conditions continue to be challenging. While we expect growth in the global car market in 2012, the pace will probably continue to slacken in the remaining months of the year, with the Western European market decline expected to accelerate towards the end of the year. The pace of growth in the markets for trucks and buses is expected to slow in 2012. The global market could fall below the 2012 level. Sales revenue is expected to exceed the level of 2011. This is due in part to the consolidation of MAN and, since August, Porsche too. PPA will largely offset Porsche's contribution to the operating profit this year with regard to MAN. After PPA no positive earnings contribution is expected. In summary, we aim to match the level of the 2011 operating result. Ladies and gentlemen, this year the Volkswagen Group has taken significant strides towards our 2018 goals as we build on our 3 strong pillars of: firstly, passenger cars, including motorcycles; secondly, our commercial vehicles and Power Engineering business; and thirdly, Financial Services. We have worked long and hard to ensure that we remain at the pinnacle of our industry while at the same time driving efficiency through our engineering and production activities. And MQB is just one of the clear results. As the first goals are delivered to customers in the coming weeks, we consider ourselves well prepared to confront the global challenges of our industry. While there is no doubt still much to do, our results show that we are on the right track. And while tough times will linger, especially here in Europe, more customers than ever are turning to the Volkswagen Group, and we can be confident of our success in the years to come.
Christine Ritz: Thank you very much, Mr. Potsch. [Operator Instructions]
Operator: [Operator Instructions] We'll take our first question today from Jochen Gehrke of Deutsche Bank Frankfurt.
Jochen Gehrke - Deutsche Bank AG, Research Division: Two questions, if I may. First of all, on your cost and profit work. In the third quarter, we had the fixed cost and start up cost impact of EUR 1.1 billion sizeably above what was there in the first quarter. Can you just help us understand the dynamics in the coming quarters? Is this the peak now with the rollout of MQB? Is it going to plateau and then come down? Or how should we really look at cost ramp ups in the coming quarters? And secondly, I wonder if you could comment on what's been happening in the market most recently. One of your competitors is getting bailed out by the government at least in part with a government guarantee awarded to the bank. What's the take on Volkswagen to the European market environment? Do you think this is compliant with European regulation? And are you not afraid that on the back of that pricing has way more legs to go down?
Christine Ritz: Okay. So the first question refers to our fixed costs and the effort which [ph] and the impact in the third quarter. You would like to have a guidance of which fixed cost we do expect in the coming quarters. Was Q3 a peak or how should we think of the development in the future? And the second question refers to the competition in Europe and if we can comment on the European market, the environment and what do we expect there even also with regard to pricing conditions. So I would suggest we start this question on the European market and Mr. Klingler will be happy to answer this question.
Christian Klingler: So if you talk about the European market, it is unfortunately clear that the European debt crisis is affecting direct our customers. So there's a big difference between the north and the south. In the south, the crisis is stronger and the people are suffering more. So as a consequence, we see, of course, that the markets are declining, so for example, we have already mentioned Spain has a strong decline. We have another like in Italy where we have a very strong decline or Portugal. Obviously, as well in other countries that the fentimen [ph] is taking place, but the total market in Europe is going down. This has of course an impact on our competition as well as on our own side. So we are saying since more than a year that we are thinking that we need to observe very closely to develop it in Europe and we continue to do that. We believe that the pressure on pricing will continue. We see that in several markets on different levels. We are, as we have not changed our strategy, always in a situation where we have a logic just to follow when it's needed. But we try to avoid clear price-aggressive actions. And we see, of course, that some of our competitors do have the need to make a turn in their plans, and as a consequence, some, I would say so, surprising actions could occur. We do not believe that the pressure on pricing will be reduced over the next months to come. And we believe that the situation in Europe over the next years will stay on quite a low market level. This is essentially due to the economic situation, where first, this situation needs to be improved, and second, of course, the confidence of the customers needs to come back, so that we can have a clear cross-perspective of the markets. However, we're gaining market shares, and we have a reasonably strong performance in Europe. This would be my answer for the question.
Hans Dieter Pötsch: Okay. So I can continue with the question on the fixed costs side. Let me first of all say that it should be very clear that a significant part of the cost increase throughout the year relates to the growth development of the group on the paths we've taken so far. So it's very clear. With the continuation of the ramp-ups we experience in India, in Russia, in America and a few other places, we're adding on fixed costs. But is also clear that there is an equivalent, which you can find in looking at sales revenue, for example. Now very clearly, there is a specific element, which is the introduction of the MQB Modular Toolkit. First, we started at Audi with the A3, then continued at Volkswagen with the Golf, and we're still in the middle of this process. Now what I can say at this point is no surprises, so we are just executing very much along the plans which were established before. And then looking into the future, it's clear that there is kind of a peak in the third quarter, but we should have the expectation that clearly in the fourth quarter and also the first 2 quarters next year, we'll see significant effects on that side. As of course, we will see the MQB Modular Toolkit be merged into the product portfolio not only at Audi and Volkswagen but also at SEAT and Scoda. So that's why we clearly have to continue to digest a proportion of fixed costs in that time period. We should not forget that one of the fundamental reasons of the introduction of the Modular Toolkit is besides the introduction of fascinating new models is a significant step in terms of productivity and efficiency. And that's why we will increase them throughout the next years and see the advantage coming in also into the P&L.
Operator: Our next question comes from Michael Tyndall of Barclays.
Michael John Tyndall - Barclays Capital, Research Division: It's Michael, Michael Tyndall from Barclays. Two question, if I may, I guess the first one, just in relation to inventory. I'm quite impressed with your cash generation in Q3, particularly given that the Golf 7 is still prelaunch. So I wonder if you could talk about where you finished the quarter in inventories. And maybe perhaps within that, talk about whether or not growth this year has been ahead of what you're expecting in terms of volume growth. And then I guess, the second question just relates to pricing overall. I'm looking at your EBIT walk-down. I guess the inference I can draw, given that volumes were up in Q3 is that pricing and mix was negative. I'm wondering if you could perhaps tell me whether or not pricing itself alone was negative in Q3?
Christine Ritz: Okay. So we have 2 questions. The first refers to our inventory level and the cash generation in Q3. And you would like some more information, where we finished the quarter and what do we expect then for the rest of the year or for our future there. And the second question refers to our EBIT walk-down to the columnar pricing and mix, if we can give you some more details more -- both negative. You are asking us both pricing and mix negative, can be here a little bit more specific? Mr. Pötsch will start with those questions.
Hans Dieter Pötsch: Okay. On the inventory side, I think I can very easily remind you on comments that we made in our last conference call, both Mr. Klingler and myself, where we tried to introduce to you that for a number of reasons we had to overstock the company a bit, which is a quite usual procedure taken just to prepare for model changeovers, specifically if related to such very significant volume models like the Audi A3 and the Golf model. That was the situation at about the middle of the year, and as we're saying clearly at that point in time, we -- then also were some adaptions of the production sequence. We managed to move pretty close to what we would call ideal stock levels, which is broadly true looking at the global situation in the meantime. And on debt level, the intention is that we would continue on with that ratio towards the year end. If ever possible, we are trying to manage stock levels to be somewhat below the ideal level just to be prepared for a situation which cannot completely be ruled out that we would see a pretty weak month early next year.
Christine Ritz: Okay. Mr. Klinger will give the answer with regard to pricing and mix.
Christian Klingler: On the pricing side or on the mix side, it is true that there is a defect on the mix side, which is firstly a question of the country mix, then a question of the model mix, which is in the numbers and which can be clearly identified. Is there in the third quarter more pressure on the pricing side? The answer is yes. There is more pressure there but still on a decent level. But the pressure is there, and we believe, as we just mentioned before, that the pressure will continue.
Operator: We move on now to Stephen Reitman of Societe Generale.
Stephen Reitman - Societe Generale Cross Asset Research: Could you comment on the level of Golf orders you're currently seeing for the Golf 7? And also comment as well on how you see the situation in Brazil developing, if you think the incentive or temporary boosts are going to end in October or at the end of the year, and what implication that has in 2013?
Christine Ritz: Okay. I do assume Mr. Klingler is happy to answer those questions. The first one refers to the Golf order, if we can give a number for the order book for the new Golf. And if we can describe the situation in Brazil, the current situation and also with regard to the remaining quarter. And maybe also we can give an outlook for 2013.
Christian Klingler: So if you'll allow, I'll start with the Golf 7. We have a very good direction on the markets concerning the Golf. We are seeing that we're winning up to now all tests in magazines and not only by small but by very strong differences. We have an order book, which is clearly above 15,000 orders, which is above our expectation. And I think up to now, we are very, very happy how the development of the Golf is proceeding. The entry into the market is starting next month. So I hope and I'm fully convinced of this that afterwards we can report how positive the Golf is coming into reality in the different markets where we launched the car. So if we now go to Brazil, is it true that incentive on the IPI will be reduced, so the question is when. Unfortunately, I cannot tell you when it will be exactly because there are at least 2 scenarios. One is clearly the scenario that it ends at the end of the month. We don't know whether the government would apply a continuation. If there were a continuation, which would be announced several days before the month end, we believe it would be up to the end of the year. So clearly, for next year in any case we have the fentimen [ph] as we had in all of these markets, where some incentives are stimulating the demand, but there would be a counter-action in terms of a lower market level. But in general, we don't see very high risks there because we have an existing demand. Brazil itself is a market which has economically reduced its positive path. And a lot depends as well on the level of interest rates, so we shall see as well how the interest rates will go further on as well as the exchange rate year. So we are -- we believe that the Brazilian market will stay on, let's say, a decent level, a normal level without a too big negative impact coming from these incentives in terms of reduction of the IPI.
Operator: We'll take the next question from Horst Schneider from HSBC.
Horst Schneider - HSBC, Research Division: It's Horst here from HSBC. My questions are, the first quick question is related to the currency gains. I mean, you have booked in the first 9 months EUR 900 million of positive currency gain. Given the fact that the euro has strengthened, should we expect the rate of currency gains to come back in Q4? And could you maybe also really shed some light in 2013 that if the currency, so that means the euros against the dollars stays at $1.30, will you have again a positive currency effect? And maybe you can also give us some indication which amount we could expect? And the second question, basically relates to China. We are seeing here now at the moment a massive slowdown of sales of Japanese carmakers. Are you already seeing a positive impact? And should we expect a more or less strong acceleration of sales in China in the fourth quarter?
Christine Ritz: Okay. So we have 2 questions from Horst. One question refers to China. And I'm sure Mr. Klingler will be happy to answer that, if the slowdown of the Japanese carmakers has -- has any impact on our sales development also for the last quarter and for the following month. And the second question refers to currency gains. So Horst wants to know if -- what do we expect for the last quarter this year? Do we still see there a positive development? And can we give maybe also more information with regard to next year? Do we still expect then a positive currency effect? And Horst is curious if we can quantify that as well.
Christian Klingler: Yes, maybe I can get started in talking about the currency situation. As you rightly said, it was a positive gain of some EUR 900 million in the first 9 months of 2012. And it's highly realistic to assume that we'll have another positive effect in the fourth quarter. Whether it's fully proportionate or not does make a major difference, I would say, but we will add something on to this. For 2013, it's a bit more difficult, and we could not build our hypothesis only on the dollar rate. That's a little bit more complex situation, that's why in conservative thinking, one should assume that there is no significant negative effect in 2013.
Hans Dieter Pötsch: Okay. So if you want me to ask about China, I'm happy to answer to this. It is true that the Volkswagen Group has a positive momentum in China this year in the first 9 months so even before the situation of tension between Japan and China has occurred. Is there an impact in the market? Yes, there is some impact in the market. Therefore, the Japanese competitors have announced to reduce their production, sometimes, if I remember, well about 50% of their normal rate. Do we have some positive effects? Yes, we do have some positive effects. How long will it take and how will it come up to the end of the year? This is a little bit difficult to answer, being honest. A lot depends as well how the relations will go through on that. So in general, we believe that our performance in China will continue to be positive and continue to have a positive vision up to the end of the year. So I think that is probably the most appropriate answer to your question.
Horst Schneider - HSBC, Research Division: Do you see on the deck offset [ph] also already a price improvement sequentially?
Hans Dieter Pötsch: The pricing situation in China for Volkswagen was in general, let's say, pretty okay before. And to see up to now already pricing effect, it's, frankly to say, too early to discuss because the fentimen [ph] is just 4 weeks old. So we cannot really answer to this. Because you have a one effect that, of course, some of the Japanese competitors are trying to make the deal and, therefore increase incentives. Then you have another effect that, of course, due to the stock which will be reduced, there could be a positive effect in the incentives. So up to now, frankly to say, it's too early to answer to this question precisely.
Operator: We'll take our next question now from Stuart Pearson from Morgan Stanley.
Stuart Pearson - Morgan Stanley, Research Division: Two questions. Firstly, just I guess, relating more to the Audi side of the business. Just noting, I guess, the first year-on-year decline a while. I just wonder if you could talk about what's happening with corporate demands in Germany in particular but in Europe as a whole. I just noticed the last few months. And maybe it's just seasonality, but there seems to be some decline there in corporate sales of premium. So I wonder if you could just kind of elaborate what you're seeing from your corporate customers. And then the second question, just a fairly quick one, on the dividend, just given the strong cash generation that we have seen, how quickly do you think we can expect to see it move up to the 30% payout ratio? Is that possible as soon as the fiscal '12? Or is that something we should model as a more gradual ramp towards, say, 2014 or '15?
Christine Ritz: Stuart, your line was quite bad. So hopefully we did understand everything correctly. If not, please let us know. So the first question refers to the demand situation in Germany, also corporate and private sales. How is the fleet sales developing? And the second question refers to our dividend and the payout ratio, if and when we can expect a higher payout ratio for our shareholders. So the first question if I got it right, Stuart, I would ask Mr. Klingler to answer this.
Stuart Pearson - Morgan Stanley, Research Division: Yes, that was right.
Christian Klingler: Very good. So if you talk about the question about the corporate demand, I think in Germany the normal ratio is about 60%:40%, 60% coming from the commercial side and 40% from the private side. So this has been as well confirmed in 2012. That is more or less the same ratio. Is there a small softening over the last few weeks? Maybe there is something, but we cannot really report more than that. In Europe, the tendency is that the ratio is more logic to a 50-50 split. This is in general as well held in this year, even a bit more favorable for the fleet sales, which is about 52% more or less generally to August. So we cannot report here that there is a stronger decline of corporate demand than on the private demand. But nevertheless, we should not forget that the market is going down. So as a consequence of course, the corporate demand is going down as well. We are very sensible on this. We are here in a very good position. The focus and concern are very good in all aspects, and we believe that the situation will be more or less on the same level, but there is some risk of softening. Okay?
Hans Dieter Pötsch: Okay. On the dividend side, I cannot say substantially more than what I said so far, which is that medium-term we aim for an adjusted payout ratio on a sustainable level of around 30%.
Operator: We'll move on now to Daniel Schwarz of Commerzbank.
Daniel Schwarz - Commerzbank AG, Research Division: I have 2 questions. First is, in total, if you're comfortable with your indication that Q3 was a trough and that you expect to pick up in Q4, is that right? And maybe could you give an indication towards the contribution of Porsche's capital financial services to your Financial Services business?
Christine Ritz: Okay. So you have 2 questions for us. The first question refers to the development of the third quarter and the fourth quarter, if we can give guidance at the fourth quarter. That in the fourth quarter the CapEx will rise -- and if we can give --
Daniel Schwarz - Commerzbank AG, Research Division: [indiscernible]
Christine Ritz: Okay, sorry. And then also, you would like to know if the fourth quarter will be better than the third quarter with regard to our EBIT achievement. Is that right?
Daniel Schwarz - Commerzbank AG, Research Division: That's right, yes.
Christine Ritz: Yes. And the second question refers to the Porsche business and if we can give some more information about the FS business of Porsche. How was the contribution of that unit to our FS division.
Hans Dieter Pötsch: So on the first question, let me first of all say, because the word "trough" has a bit of negative sentiment, I would say, let me really make sure here at this point it is just what we were expecting and we are completely in accordance with our plan. It was clearly foreseeable that by doing the big model changeovers, there are very significant ramp-up costs and also effects, first effects coming in by the new equipment. So to cut a long story short, we feel very comfortable with where we ended up with in the third quarter, which essentially means that we will improve in the fourth quarter just to meet our guidance to match the 2011's operating profit. Then on the Porsche, the Financial Service side, maybe 2 quick statements. First of all, this will be up slightly. This has already a slightly positive contribution to the overall situation. But of course, for 2012, we need to say, on that side, similar to the whole Porsche situation that what we gained in terms of additional EBIT potential will be absorbed by the depreciation on PPA coming in, more or less at least absorbed. That's why the situation is somewhat similar looking at the full piece.
Operator: Our next question comes from Fraser Hill of Bank of America.
Fraser Hill - BofA Merrill Lynch, Research Division: It's Fraser Hill from Bank of America. Just one question on Audi in China and the premium end. We've heard a lot of some of your competitors recently about the market, and clearly inventories were somewhat higher for the premium space in China in the middle of the year. Seems to have come under a little bit more control of late with perhaps dealer discounts narrowing. Could you provide us with your perspective on that dynamic, both for the industry as a whole and also for Audi? Have you seen discounts in the middle of the year? Perhaps as substantial as we've heard from some of your peers. And indeed, have you seen the market tightening more recently, which has also, seems to be a theme?
Christine Ritz: Okay. So you're interested in Audi in China. So if we can give some more information how the situation is in China for Audi. Also with regard to the overall market conditions, pricing incentive levels. So what do we expect here for Audi? Mr. Klingler will answer that question.
Christian Klingler: Okay, so it is true that the premium market in China has had a more complicated time in the first 9 months of 2012 than in 2011. So there was more pressure in the market as well as some inventory issues but the inventory issues are essentially concentrated in the market on the imported cars. So maybe just to explain a little bit how it works. You have there the local production. Audi is very strong there, of course. And then you have the imported cars, like for example, the Audi A8 or, like for example, the Audi Q7 as you might have from other competitors as well, respectively. So I would say so there have been some actions from one of other competitor, which was essentially positive to the incentives in general. But that's more concentrated, again, on the imported cars than on the local produced cars. We had the introduction of new models like the Audi A6, very successful and we feel that after the more intensive situation, which had its peak probably some kind of June, that the situation is now getting to a more, let's say, more normalized, even though it's not normalized, it's more normalized situation. So Audi has of course tried to get as far away as possible from this development, but, of course, due to competition isn't always possible. And we think that the situation over the next months will probably go into, as I mentioned before, a normalized situation.
Operator: We'll move on now to Austin Earst from Marshall Lease [ph].
Unknown Analyst: I just had 2 questions. One is on the MQB and the ramp-up costs. I just wondered if it's possible to sort of separate the 2 charges or maybe just confirm that Q3 was the peak in terms of those. And then secondly, I just wanted to understand regarding MAN. It looks as if after a very poor Q2 that MAN is now had a better Q3. But I'm not sure if I can interpret their accounts through your accounts.
Christine Ritz: Okay. We have 2 questions. The first question refers to MQB and ramp-up costs, if we can give you some more detail. And especially you're interested if the Q3 was the peak related to MQB charges. And the third -- the second question refers to MAN. Due to the different accounting standards MAN and Volkswagen is using there, if we can compare Q3 and Q2 and give there some more information on the performance of MAN.
Hans Dieter Pötsch: So first of all, on the MQB side, again as we've said before, there were significant ramp-up costs which had to be digested. It's a significant part, very significant 3-digit amount, which is incorporated in our swing sector analysis on the fixed cost side of our EBIT position comparing 2011 and 2012. As I said before, we assume from this point that this could've been the peak in Q3, but we clearly have also to bear in mind that by the continuation of the introduction of the MQB platform, if we look at the group level introduction into additional brands and models, that still the next months and quarters will carry a decent portion of the ramp-up and introduction costs. Second question, on MAN. There you find quarterly results on the EBIT line before any PPA charge of EUR 161 million. I should say at this point that still this year the displayed numbers for EBIT are not 100% comparable between Volkswagen and MAN, but that would be a slight improvement against the second quarter. Still, let me put it that way, there is room for improvement. And to shed a little bit more light on this, let me repeat what I said for the full year. It will be such that in spite of a significant positive contribution, if seen together with the PPA charge, the resulting amount will be negative.
Operator: We'll now move on to Yorgan Peter [ph] of Mettler [ph].
Unknown Analyst: I have 2 questions. The first one is another one on pricing, maybe just a little more description. Is it right to say that pricing is principally negative in all regions, maybe with the exception for China? Or is it really predominantly Europe? And the second one on Porsche EBIT. In the 2 months we had a 19% EBIT margin, if you just take the EBIT, of course, before PPA. Is it prudent enough to expect, taking into account that August and September are normally not the strongest months for Porsche and taking into account a certain volume increase next year and maybe a bigger proportion of the 9, 11 [ph] ? Is it prudent enough to expect roughly 20% EBIT margin for Porsche next year? Or is it -- would it be too optimistic and not conservative enough?
Christine Ritz: Okay. So you had 2 questions for us. The first question is for Mr. Klingler with regard to pricing. If we can give some more information, if we see in all regions negative pricing and development with the exception of China. And the second question refers to the EBIT margin of Porsche AG. If we can give here our guidance for next year. And Yorgan is suggesting a margin of 20% EBIT margin in 2013 and would like to know if that is too optimistic.
Christian Klingler: So if we talk about pricing, it is clear that the pressure in Europe is probably the stronger one, if you compare it to the other regions. The situation in other markets have not changed strongly in the last quarter than in the quarters before, though that means, for example, in the U.S., in North America, we have more or less the same pricing situation that we had 6 months ago. This is as well true for Russia. There is some pressure on pricing in South America, which is, of course, essentially due to this stimulation package, reducing the IPI. We see as well in China a continuation of the normal pricing pressure as it was the last months. So it has not increased strongly. And I talk about the CKD business, the normal business -- the business done through our own plant in China. So I would guess that the pricing pressure in Europe is, as I said before, the stronger one, and we expect that it will continue. We cannot say that this is a worldwide sentiment to the same level, so we still have clear differentiations depending on the regions.
Hans Dieter Pötsch: Okay. Then on the Porsche side, first of all, just to confirm this, I think Porsche is turning up again in 2012 with an excellent performance. You might be aware that we have a minimum target of profitability established at Porsche, which is 15%. And I think there is no reason to believe that we would not be able to meet this target. How far this can go is I think also heavily depending on how the economy develops any further, on the one hand. And then just a little reminder here, we should not forget also Porsche started significant CapEx spending for the simple reason that at the end of next year, there is a very important product launch, which will extend the product portfolio at Porsche. So I mean, if it was possible, clearly, I'm sure the colleagues at Porsche will do the best that they can. So far, I think it's better to keep feet on the ground.
Operator: We'll move on now to Charles Winston of Redburn Partners.
Charles Winston - Redburn Partners LLP, Research Division: My 2. Just in terms of the product cost side of the EBIT walk-down, there was a EUR 300 million gain this quarter compared to EUR 600 million, I think, in the second quarter. I'm just wondering if you could perhaps update your thoughts for the full year for that line item and perhaps give us some tentative thoughts as to what we might see in 2013? And then just in terms of the cash tax. There was a pretty significant cash tax charge in the quarter. I think it was about EUR 1.8 billion or thereabouts. I was just wondering if you could flesh out thoughts there. Was that a bit of an abnormal item? And is it likely to step back? Or is that sort of a new run rate in terms of cash tax paid?
Christine Ritz: Okay. So you have 2 questions for Mr. Pötsch. The first question refers to our product cost savings and if we can give a forecast for the full year 2012 and also an outlook for next year. And the second question refers to the cash tax charges. There was a significant outflow in this period. And if we can give you some more guidance.
Hans Dieter Pötsch: So first of all, on the product cost side, and I give a lot of compliments to my colleagues, specifically on the purchasing side and also the engineers trying to squeeze some cost out of our product, that they managed again, a very significant contribution to our P&L. Also in the third quarter, I think there's good reason to believe that we might be able to somewhat, let's say, continue on with that performance for the remainder of the year. Whether we'd be able to produce as much savings in 2013 might be a little bit aggressive. You know that we normally target, let's say, up to EUR 1 billion to be achieved in a 12-month period, and that's clearly also a target set for 2013. On the tax side, first of all, I should give a basic comment, which is quite normally high tax payments are mainly driven if profits run high. And then quite normally, you have in a sequence of sometimes 2 years, 3 years or sometimes also only 4 years, you have tax audits, which can after a while end in a tax payment covering a number of years. And that kind of thing happened in the third quarter, so there is a cash-out for settlement of several tax issues relating to past years in the magnitude of around EUR 1.3 billion included. And then there is another charge, which relates to the Porsche transaction, which is cash out in the third quarter but will be recovered in roughly 6 months down the road.
Christine Ritz: Okay. Let's have the next question. And it would be great if you can concentrate on one question only because we are running out of time.
Operator: We'll take our next question from Michael Punzet from DZ Bank.
Michael Punzet - DZ Bank AG, Research Division: It's Michael Punzet, DZ Bank. Maybe -- okay, one question. Maybe you can explain a bit what happened at Scania because we saw a drop in sales and especially in the margin. And maybe you can give us an indication if this trend will also continue in Q4.
Christine Ritz: Okay. You are interested in the development and the performance of Scania, and if we can give you some more explanation.
Michael Punzet - DZ Bank AG, Research Division: Sorry it was at Skoda, not at Scania, sorry.
Christine Ritz: Okay, good. Okay. So we switch to the passenger car business. So it's Skoda. So you are interested and this question makes much more sense, I would say. So you would like to have some more information what happened in the third quarter at Skoda, and because you saw there a weaker EBIT margin. And if we can give here some background information and if we have a guidance also for the full year.
Hans Dieter Pötsch: Well, first of all, I think everything Mr. Klingler said in terms of the markets being difficult in Europe relates also to the Skoda situation without any doubt. But at Skoda there are 2 elements, that's why I'm pretty happy that you were putting this question on us. There are 2 elements which need further consideration. One is the introduction of our new Rapid model, which is a pretty unique offering of a 4-door sedan, where really price and what you get for the price is a pretty good relationship. So we're very happy to be able to introduce this car, but it's clear that all the upfront investments in cost had to be carried by Skoda. And secondly, of course, Skoda is also in the middle of preparing for the model changeover to the new Octavia model. That's why the Q3 is also somewhat harmed by this very important project. Taking everything together, we should not expect that situation to change fundamentally in the outstanding quarter. But it's also fair to say we also at Skoda are full on track with these very important measures to prepare for a much better product portfolio at Skoda.
Operator: We'll take a question from Frank Biller of LBBW.
Frank Biller - Landesbank Baden-Wurttemberg, Research Division: Also coming back to China. There's one question from me. So now you are a bit of profit here of these Chinese, Japanese, Singapore. And here my question is what are you assuming for the years to come? So taking 2013, 2014 growth rates for Volkswagen in China, are you going to grow with the market in the range of, let's say, 5% to 8%? What is your expectation here? And maybe you can give us a sales per unit figure here for the Chinese market.
Christine Ritz: Okay. Frank is interested in the performance of Volkswagen in China. What -- which growth rates do we assume for the next years? And how should we think of the performance of the Volkswagen Group? Mr. Klingler would be happy to answer this question.
Christian Klingler: So as you know, the Chinese government will change in the next few months so, therefore, some will depend on what is the position of the new government concerning the growth as well -- in general but as well the car industry. We don't expect any major changes, so we expect that the positive position for the car industry will continue. The growth rates we see this year are in line with our expectations. So we have always said, it's a single-digit number, probably 5%, 6%, 7%, concerning the market. And we believe that as well in the next few years to come the growth rates will be concentrated essentially in this single-digit market. And when we're talking about market, we're talking essentially about passenger car markets. The trucks market looks a little bit different. It has as well different indicators, which needed to be explained a little bit on another time. As always, our target is to grow stronger than the market, so this hasn't changed. So we believe that we have a very robust basis. We have wonderful new products. We continue to launch new products. We have a very strong strategy in China. And it should be feasible that our growth rates are higher than the market for us. This is maybe answering your question.
Frank Biller - Landesbank Baden-Wurttemberg, Research Division: And the revenues per account?
Christian Klingler: I think you can accept if we are not going into this kind of details at that level.
Operator: We'll go to Richard Hilgert of Morningstar for our next question.
Richard J. Hilgert - Morningstar Inc., Research Division: I was curious to get some more contrast from you compared with a competitor of yours over in Europe, who has delayed new model launches in the face of the anemic demand that we're seeing throughout Europe. But yet you're going ahead with model launches and your product introduction schedule seems to be relatively healthy compared to many others. What's the strategy, what's the thinking? Your competitor says that they fear that they won't get the kinds of returns that they need to get to launch a model if they launch in the midst of this kind of low demand level? Contrast your thinking and your strategy to that kind of thinking.
Christine Ritz: Okay. So you are interested in our product strategy, and if we can a little bit explain why we continue to launch new models and why we believe that this is the right strategy also in a more challenging environment. So I would say Mr. Klingler is answering that question.
Christian Klingler: So I think you can accept if we are not commenting on things that are expressed by our competitors. But in general, we believe that new products are the key of success. So therefore, we have, for example, created our MQB, which is a perfect base on both on cost but as well on the possibility to make wonderful cars, and we will continue on that. So it is true that the European market will not be very easy over the next few months, maybe even years. We have included that into our vision. And we believe that for the customer, it is very important to get very good cars, very good products, and that it's evident that you only can have good cars and very good products if you continue to develop and if you continue to be very strong on your technology capabilities. So we believe that we have all -- thinking into that direction that it is very healthy to have a robust product line and answering to that to the needs of our customers even better every day, so that more and more customers coming into our showrooms and buying our cars.
Richard J. Hilgert - Morningstar Inc., Research Division: Will there be an increase in market share for yourself?
Hans Dieter Pötsch: Maybe a little additional comment from my side here from a financial perspective also. I think it is very important to understand what the Volkswagen Group is doing, which is when we say and talk about new model launches, it's not just fine revisions of some single design issues. It's fundamentally new cars. And I think the Golf just launched and also now we have 3 are just perfect examples. And the point here is that without any doubt in our view the automotive industry in the next years to come will have to go through a paradigm shift in terms of, for example, new powertrains to be installed, a very significant innovation relevant for the whole car. And if you take the Golf in just one parameter, the Golf is essentially more or less a 3-liter car. You can run the car with 3.2 liters per 100 kilometers. So this is offering a substantial additional value to the customer. And we're actually convinced the customer will pay for it. But of course, you need to have the package in place. And that's why Mr. Klingler said from that point, even financially thinking, it is the preferred strategy rather than trying to muddle through. And that's, I would say, probably the fundamental difference.
Operator: We'll take a question from Rabih Freiha of Exane.
Rabih Freiha - Exane BNP Paribas, Research Division: Rabih Freiha from Exane. Could you give us maybe more color about the evolution of your capacity utilization rate in Europe from Q2 to Q3? And maybe tell us what the contribution of the region is to your EBIT, if possible.
Christine Ritz: Okay. I guess we cannot give all the details you are interested in. So you are asking for the capacity utilization and the development from the first half to the third quarter. And if we can also give here, in addition, the EBIT contribution by region.
Rabih Freiha - Exane BNP Paribas, Research Division: Of Europe.
Christian Klingler: So first of all, on capacity utilization, there is no much change from Q2 to Q3. We maintain, in our terminology, the capacity utilization of more than 100% including China, and if you take off China, more than 90%. I should say at this point, if one applied more broadly and more common calculation matters to that issue, for example, the harvest scheme, you would both for Europe and for China end up with numbers more than 100%. Secondly, in terms of EBIT for the various regions, and you asked the question knowing that you won't get a very precise answer on it, but it's probably that -- and I try to keep a partial answer, which is we are highly profitable in Europe and not only in Europe. I think that answers probably at least the core part of your question.
Christine Ritz: Okay. We'll take last -- 2 last questions from analysts, and then we switch to the media.
Operator: We'll move on to Christian Breitsprecher from Macquarie.
Christian Breitsprecher - Macquarie Research: I have one question remaining on PPA. And now that Porsche is fully consolidated, can you tell us what we should pen for in as PPA for the full year 2012? And also, of course, an idea what would be remaining for 2013?
Christine Ritz: So if we can give a guidance for the full amount for this year and also for next year.
Christian Klingler: So first of all, for 2012, everything included we think PPA charge will be in the magnitude of EUR 2 billion with the exception of a piece of probably EUR 100 million everything on the EBIT line. And then for 2013, we believe we will be released by several hundred millions in PPA charge. So the overall amount of PPA charges in 2013 should be substantially lower than in '12.
Operator: We'll take a question from Christian Ludwig of Bankhaus Lampe.
Christian Ludwig - Bankhaus Lampe KG, Research Division: I have a question on the commercial vehicle business. We've seen Emans [ph] come and also your own Volkswagen brand of commercial vehicles coming down. Now in these times where business is probably worse, it might be sensible to do some tough decisions which would help the integration of the overall commercial vehicle divisions. Is this something that we could expect in the next coming months that there are some quicker decisions on the integration of the commercial vehicle side of things?
Christine Ritz: Thank you, Christian, for the question on our commercial vehicle business. So you are interested in the next steps with regard to our trucks strategy, if we will see some steps with regard to the integration of those companies.
Hans Dieter Pötsch: Well, first of all, I think we should say that I think we have now a very clear structure, which allows decent cooperation between all the 3 companies. We have put new management, partially new management in place, so people were put in charge starting the 1st of September. And I simply think they should be given some time to approach us with their plans. It's very clear there's a clear target set for synergy creation, and there are no reasons to believe that we would fall short of this.
Christian Ludwig - Bankhaus Lampe KG, Research Division: In light a little bit of the time schedule, then when should we see some first results?
Hans Dieter Pötsch: Well, I think in terms of the synergy creation process, it's already effective, so we are expecting, as you know, a number of EUR 200 million per annum to be produced short-term, which might not be fully available next year but probably the year after. But you also -- we do expect quite significant amounts more than just that.
Christine Ritz: Now let's switch to the questions of journalists, please.
Operator: We'll take a question from Christopher Bryant from Financial Times.
Chris Bryant: I have a very general question on this very volatile economic environment you're facing now. Clearly, in contrast to conditions of the past, where you had predictable quite long economic cycle schemes to the end. In a much more volatile situation, much more unpredictable -- it's not even clear if some of your European competitors will survive the crisis. But my question is -- what are you doing differently now? How are you adjusting to these conditions? Has your monitoring increased? Are you doing more regular budgeting and planning? Are you trying to increase flexibility in production? And are you taking any special measures regarding Europe? We heard some of your industrial companies in Europe saying that they are monitoring things very carefully in Southern Europe, doing cash sweeps, parking money at the ECP. Are you taking any special precautionary measures there?
Christine Ritz: You are interested in our strategy. How do we -- or which measures do we take with regard to the volatile economic environment? What do we do maybe differently to our competitors with regard to our internal planning or any measures with regard to flexibility?
Hans Dieter Pötsch: So maybe I can get started, and maybe Mr. Klingler can add on a comment then also from a marketing and sales point of view. First of all, I think I should say that we have the general assumption that with all the risks in place, it will be possible to maintain what we call Europe and also the euro currency. But nevertheless, this will require a lot of decision-making in the time going forward, but which might not always be possible at the appropriate point in time, which might lead to quite a decent amount of volatility. That's why to produce and create a lot of flexibility in the companies is one of the top priorities in such a situation, without any doubt. At this point, I think we're able to manage the situation so far quite well. Time accounts of most of the workers are still pretty much filled. We have, if ever possible, quite flexible working schemes available, maybe one of the most flexible ones at all. We also have a decent number of temps still working in our factories. There is a high degree of flexibility already existent. And then clearly also, we will maintain our conservative approach in terms of planning because I think we've also demonstrated so far that if circumstances allow a better performance, we were always able, with the backing also of our workers council and the unions, to perform better, which is to say, if there were any special shifts necessary, it was always possible to convince our employees that the situation recommends to support such ideas. And in that sense, we are very sensitive. We are highly linked to all the major markets around the globe. But flexibility is the name of the game. Mr. Klingler, do you want to make some further comments?
Christian Klingler: So if you look at Europe, which is essentially the center of concern, we are pretty well trained because the last crisis is not so long away. So we have -- in our feeling, all necessary tools. As Mr. Pötsch has said, we are very sensible. We are very closer to related to the customers as well as to our organizations as well as to the dealers. We're monitoring all risks very sensibly. And you might remember we have started to talk about Europe and the sensibility in Europe more than a year ago. So at that time, we started already to put and reactivate all necessary tools. By the way, we have never really stopped them. So we're very sensible. We continue to monitor. We are flexible as well. And for example, one name of the game is, for example, the stock, where you can see that the stock level in Europe but not only in Europe is completely under control. We're evaluating, of course, all risks on the dealer side as well as on the residual value side as well as on the used car sides, and we have in place, I would guess so, all measurements, which should give us the possibility, if necessary, to react very, very fast.
Christine Ritz: So we'll take now the last question from the journalists, please.
Operator: We'll take a question from Christian Wuestner of Bloomberg News.
Christian Wuestner: Yes. I have 2 questions, if I may. One is that we've seen the announcement of a couple of closures of plants in Europe. So how would you assess the situation here? Are we on a good way to reduce this problem of overcapacity in Europe? And the other question is that we have seen Volkswagen halt in production for a couple of days of the Passat in Europe, for example, and Audi also in Meccas Homes [ph] . I would like to know are you now reaching the level that you said that below the ideal levels? Or are we going to see more of these halts of production here in Europe?
Christine Ritz: Okay. So you have one question -- is this overall referring to the capacity in Europe. If we can comment on that situation in Europe and especially then on the Volkswagen side if we see there -- that we are below ideal level or if we see any measures of production cuts?
Hans Dieter Pötsch: Well, first of all, in terms of the question on capacities in Europe. I mean, I think it's not the first time that just looking at nowadays' situation, one might figure out that there is too much capacity. But clearly, any competitor has to take independently a decision on whether capacity has to be reduced. And now we hope and that's a little bit -- our principle is how we try to act that besides this kind of measures there were also some more positive measures in terms of ideas on new products, so ideas that you also fill in capacities which might be not absolutely necessary at this point in time. As I said earlier on, we are very closely monitoring the situation and we can react very quickly. That's why, for example, in our plant in Emden, we took a decision to close the plant for 3 days. This is not absolutely necessary by the stock levels currently in place, but we want to move a little bit on the conservative side. And these are little measures which will contribute to stock situation at the end of the year, that we'll be able to say that we are ideal level minus something. How much doesn't really matter because we can live with ideal levels, of course, but as there are some uncertainties in the further economical framework, it is highly recommendable to maintain a conservative position.
Christine Ritz: So thank you very much. We come now to the end of the conference call. Thank you very much for taking part in our call. Enjoy the rest of the day. Goodbye from here in Wolfsburg.
Operator: Thank you. That will conclude today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.